J. Hill: [Foreign Language] Ladies and gentlemen, it's time to begin this session to announce the Q3 consolidated financial results of Sony Corporation for fiscal 2016. Thank you very much for being with us despite your very busy schedules. 
 I'd like to introduce our speakers today, Executive Chief President and CFO, Representative Corporate Executive Officer, Kenichiro Yoshida. We have Kazuhiko Takeda, Corporate Executive in Corporate Planning and Control and Accounting; the Corporate Executive, Finance and Corporate Development, Atsuko Murakami. Mr. Yoshida will make a presentation today to be followed by questions and answers. We'll be spending 45 minutes all together. 
 With that, Mr. Yoshida, you have the floor. 
Kenichiro Yoshida: I'm CFO, Kenichiro Yoshida. Today, I'd like to explain these 2 topics in the next 15 minutes. Consolidated sales for the third quarter of fiscal 2016 decreased 7% year-on-year to JPY 2,397.5 billion. Consolidated operating income decreased 54% year-on-year to JPY 92.4 billion, mainly due to the JPY 112.1 billion impairment of goodwill recorded in the Picture segment that we announced on January 30. Net income attributable to Sony Corporation's stockholders decreased 84% year-on-year to JPY 19.6 billion, primarily due to the impairment. This chart shows the cumulative results for the 9 months. 
 This chart shows the results of each segment for the third quarter. This chart shows the 9-month cumulative results by segment. 
 Next is a consolidated result forecast for the current fiscal year. Sales have been revised upward by JPY 200 billion, compared with the November forecast to JPY 7,600 billion, primarily due to the impact of the exchange rate. Operating income was revised downward by JPY 30 billion to JPY 240 billion. Net income attributable to Sony's stockholders is revised downward by JPY 34 billion to JPY 26 billion. 
 This slide shows a comparison between our fiscal year forecast announced in November versus the forecast announced today. Operating income includes both the JPY 112.1 billion goodwill impairment that I mentioned earlier and a JPY 37.2 billion gain from the sale of portion of our shares of M3, Inc., which was also previously announced. Incorporating these factors and the business operational improvement, operating income has been revised from our previous forecast of JPY 270 billion to JPY 240 billion. 
 Here, you can see the current fiscal year forecast by segment. We significantly revised downward the operating income forecast for the Pictures segment, which recorded impairment charge compared with the November forecast. But on the other hand, upward revision was made in the Semiconductors segment. 
 Now first, I will explain the Mobile Communications segment. Sales for the quarter decreased 35% year-on-year. Operating income decreased JPY 2.9 billion year-on-year to JPY 21.2 billion due to the effect of the decrease in smartphone sales mainly in Europe, partially offset by cost reductions and the positive impact of foreign exchange rates. 
 We have revised downward our sales forecast for the fiscal year by JPY 20 billion due to a downward revision of our annual smartphone unit sales forecast by 2 million units to 15 million units. This downward revision of unit sales was mainly due to a downward revision in Latin America and the Middle East. 
 Our operating income forecast for this fiscal year remains unchanged because the impact of the lower sales is expected to be offset primarily by cost reductions and price maintenance. We are aiming to achieve an operating profit for the fiscal year, which is our target. 
 Next, I will explain the Game & Network Services segment. Sales and operating income for the current quarter increased year-on-year, and JPY 50 million operating income was recorded. The year-on-year increase in operating income was mainly due to the hardware cost reduction and the increase in software sales, primarily offset by the negative impact of price reductions for PS4 hardware. The business in holiday season was strong, and the installed base of PS4 reached 53.4 million units as of January 1 of this year.
 Network revenues increased 40% year-on-year and continued to have strong momentum. PS VR is selling in line with expectations. 
 Our operating income forecast for this fiscal year remains unchanged because the negative impact of foreign exchange rate is expected to be offset by the continuing strong momentum of the business. We announced an array of game applications for mobile products through ForwardWorks Corporation in December 2016. The company plans to start distributing the games from this spring. As is shown in this slide, we will not only leverage our existing IP in the PlayStation library, but also work to create a new IP. 
 Next, I will speak about the Imaging Products & Solutions segment. Sales and operating income for the quarter decreased year-on-year and JPY 21.1 billion in operating income was recorded. Although the impact of the decline in unit sales was offset by an improvement in product mix, operating income decreased from the previous year mainly due to the negative impact of the ForEx rates. 
 We have upwardly revised our operating income forecast by JPY 9 billion, compared to the November forecast, now to JPY 43 billion. This revision was due to an upward revision of the profitability forecast for digital imaging, mainly due to the positive impact of the depreciation of the yen. 
 Next will be the Home Entertainment & Sound segment. Sales and operating income here for the quarter decreased year-on-year, and JPY 25.9 billion of operating income was recorded. The year-on-year decrease in operating income was because of the negative impact of foreign exchange rates stemming from the depreciation of the emerging market currencies, largely offset by the continuing improvement in product mix. 
 The business environment for the Television business, which is included in this segment, continues to be highly volatile due to factors such as foreign exchange rates, key component crisis and competitive trends. But we believe the business have significantly improved the operations compared to the past, and fiscal year operating income has been revised upward by JPY 6 billion, compared to November forecast, now to JPY 53 billion. 
 Next is Semiconductors segment. Sales and operating income for the quarter increased year-on-year, and JPY 27.2 billion of operating income was recorded. And operating income increased JPY 5.9 billion, mainly due to an increase in unit sales of imaging sensors for Mobile business, partially offset, though, by the negative impact of the strong yen. 
 We are forecasting an operating loss of JPY 19 billion, a reduction in loss of JPY 34 billion compared to November forecast, because of, partly, impact from depreciation of the yen and the strong performance of image sensors for mobile devices. 
 This slide shows the breakdown of operating results of the Semiconductors business for fiscal '15 and fiscal '16, and this shows 3 parts: image sensors, camera modules and others. 
 In the image sensor business, profitability deteriorated significantly because of a decrease in the demand for mobile sensors, which is a key part of our business; and from the second half of the previous fiscal year; the negative impact of the depreciation of the yen following that; and impact of the Kumamoto earthquakes in April of 2016. This business continued to be weak in the first half of the current fiscal year, but from the third quarter, profitability started to recover, due mainly to higher sales to Chinese manufacturers, a reduced impact from the earthquakes and the positive impact from the recent depreciation of the yen. However, we continue to have a cautious view to the trend in the business because the market for mobile sensors is volatile. 
 In the camera module business, in May 2016, we announced the discontinuation of all but a small portion of the high-functionality camera module business for outside customers, and in November 2015, we made an announcement to sell our factory in China to Shenzhen O-Film Tech Co. We take seriously the fact that we recorded margin losses in the business. But as a result of these actions, we are significantly reducing our exposure to the smartphone camera module business. 
 And other includes [indiscernible] a new business, the profitability of which is being challenged. 
 We are assessing the future potential and profitability of these businesses, but the operating loss for the fourth quarter indicated include some expenses associated with the closure of certain businesses. 
 Next will be components segment. Sales for the quarter decreased 10% year-on-year and JPY 3.7 billion in operating loss was recorded. And the first year forecast for -- fiscal year forecast for operating results has been revised downward by JPY 3 billion to a loss of JPY 51 billion. We continue to work toward the completion of the sale of the battery business to Murata Manufacturing Co., Ltd. 
 Next, I would like to explain the Pictures segment. Sales for the quarter decreased 14% year-on-year, mainly due to a low theatrical revenues. As to operating results, a large operating loss, JPY 106.8 billion, was recorded due to the JPY 104.1 billion goodwill impairment that I mentioned earlier. The fiscal year forecast for operating income is an operating loss of JPY 83 billion, mainly resulting from the impairment. The management team takes very seriously the fact that we recorded such a large goodwill impairment.
 The details of the impairment and the different forces are explained in the press release we issued the other day. And we encourage you to refer to the additional strategy slides, which is similar to the slides I'm showing now on our website for more details. 
 We also need to take seriously the fact that our actual financial results in the Pictures segment have significantly underachieved the mid-range profitability projection we announced. 
 The most recent operating income forecast for the current fiscal year, in dollar terms and excluding the goodwill impairment, is $270 million. This is approximately 30% lower than the original forecast for the current fiscal year that was announced last May. 
 In addition, in June 2016, we reduced the target range for the fiscal year ending March 31, 2018, that was announced in November of 2014 as our midterm target. And we expect the forecast for the fiscal year, which we would announced together with the current fiscal year and earnings results, will be lower than the bottom of that range. 
 Management take seriously the fact that we have underachieved the profitability target for the mid-range plan and, for several fiscal years, for the entire segment, despite efforts to improve profitability.
 From this month, President Hirai will keep a second office in Culver City, California in the United States, where the headquarters of the Pictures business is, so that he can involve himself even more deeply in the management of the Entertainment business, particularly Pictures. His highest priority will be to select a successor to the CEO of Sony Pictures and enhance the management of the business. 
 Now I would like to reiterate the positioning of the Pictures segment within Sony. First, production and distribution, which is where we recorded impairment. It is comprised of the Motion Pictures and Television Production businesses. This slide shows representative examples of the IP in these 2 businesses. IP mainly includes copyrighted content and rights to make motion pictures. 
 Creating content in our core business will be -- creating content is our core business, and we believe that the value of owning premium content and creating that content is rising at a time when content distribution channels via the network are diversified. 
 In order to improve the profitability of Motion Pictures, the head of this business, Tom Rothman, is focusing on the 3 things shown on this slide, and we think it is essential for us to continue to undertake these measures consistently. 
 Our other business, Media Networks, is a channel business, and we're operating channels such as those shown on this slide. In order to expand our business outside of the United States, primarily in India, we are taking various measures to grow, including M&A. For example, ANIMAX has a strong market position in Japan. 
 I would like to discuss now how the Pictures segment has aspects of a recurring-revenue business. In addition to the channel business of Media Networks, which is a typical recurring-revenue business, we think that Motion Pictures and Television Productions can also be recurring-revenue businesses if they consistently produce premium content by leveraging, creating and accumulating IP since focusing on recurring-revenue business and aiming to grow profit in a stable manner fits with the mid-range strategy of the Sony Group. The Pictures segment is an important business of Sony. 
 Next, I would like to go into the Music segment. Sales decreased, but operating income increased year-on-year and JPY 28 billion of operating income was recorded. The increase in operating income was due to the continuing strong performance of Fate/Grand Order, a mobile game application, partially offset by the negative impact of foreign exchange rates. 
 The fiscal year operating income forecast has been revised upward by JPY 6 billion to JPY 59 billion, reflecting the strong performance of the Recorded Music and Fate/Grand Order. Fate/Grand Order is a business of Aniplex Inc., a subsidiary of Sony Music Entertainment Japan, and it contributed significantly to the profit of the segment through its leveraging of animation IP. 
 Next, I would like to discuss the Financial Services segment. Revenues and operating income decreased year-on-year, and JPY 29 billion of operating income was recorded. Operating income decreased year-on-year, primarily due to the decrease in investment performance in the general account at Sony Life. This year-on-year decrease of investment performance was mainly due to 2 reasons: first, net gains and losses of derivative transactions to hedge market risk pertaining to minimum guarantees for variable life insurance deteriorated; and second, net gains on sales of securities decreased year-on-year. There's no change to the forecast for the fiscal year. 
 In concluding, I would like to show the results forecast for each of our business segment. This concludes my explanation. Thank you. 
J. Hill: [Operator Instructions] Anyone? 
Junya Ayada: Ayada of Daiwa Securities. The Semiconductors segment and the Entertainment, one each. In connection with Semiconductor segment, during the second quarter, the wafer production is 73,000 per month. What is the number of December onward? And what is the outlook for the fourth quarter January, March and next year? And also, the unit price during the second quarter [indiscernible] flat for full year. What is the current price trend and the future outlook of the price? Next, on Entertainment business, Mr. Michael Lynton steps down this time. And then in choosing his successor, what would be the qualities or attributes you would emphasize in selecting this successor as a new management? What sort of person do you think could be best fitted to that position? 
Kenichiro Yoshida: Thank you. The first point, Semiconductor segment, Mr. Takeda would supplement me later. But first, my view is that, during the third quarter, there were increases than the second quarter, and there will be further increase in the fourth quarter. So on an average, 80,000 or 80K production per month. And about the price, more or less, we are able to maintain the price level. Mr. Takeda? 
Kazuhiko Takeda: If I may supplement, our own capacity is operating at full capacity, and so we will look at our partner or collaborating companies for a further operation. And then the qualities we expect to see in the new CEO, so the experience and the insight into motion pictures and television productions, that would be desirable. But on the other hand, digital distribution is changing this segment very much, so the trend of change in this industry as well as the new knowledge and insight into the new technology, that would be required, in addition to leadership. 
Kenji Yasui: Yasui, UBS Securities. One question on Semiconductors and one on Game business. First of all, Semiconductors had large profits. It looks the sales are up with the lower inventory now and 80K is your full operation. So if we multiply it by 4, the results for October-December period, we immediately get the full year results. And on Game business, the larger PS VR -- PS4 sales have grown consistently. So during this quarters, on a year-on-year comparison basis, there has been a growth. But in Q4, do you think this momentum will continue? 
Unknown Executive: First of all, the inventory situation for Semiconductors, as I said, we are at a full capacity operation mode. And in third quarter, inventory was slightly higher than our expectations, so basic inventory is kept at a higher level. But in the fourth quarter, with the volume increasing in the fourth quarter toward the end of the fiscal year, basic inventory of 95 days, we will not have that level of inventory, but we will be adjusting the capacity level of the operation by looking at the demand situation. So it would be down -- the inventory is down in the fourth quarter. The inventory -- the monetary value will rise, but the turnover inventory will be lower toward the end of the year. But again, with the release or sales of PlayStation VR hasn't resulted in the increase of sales of PS4. It's very difficult to give analysis. The purchasers are many years, so many of those already possess cameras, which are needed for VR. So I think there are more positive factors than the negative. But looking at the purchasers, they are those people who already possess PS4, PlayStation 4. And has it led to the increase of Pros, PS Pro? I think the answer is affirmative. The sales of Pro is stronger than that of Slim as we see it. Yes, about the PS4, it continues to do well, about 20 million number. This remains unchanged for this fiscal year. And PS4 Pro, PS4 Pro is running as we had expected, as we have assumed, but Pro maybe is doing more than we had anticipated. 
Yasuo Nakane: Nakane of Mizuho Securities. I have 2 questions. First, numbers. CapEx, JPY 25 billion -- no, JPY 35 billion, that was the effect of the provision. It has to do with Semiconductor. Depreciation and amortization was reduced by JPY 30 billion. Can you give the breakdown by segment and the background? And for the Semiconductor, I trust that you're increasing your capital investment towards the next fiscal year, so why is it that there was a decline this fiscal year? And what do you intend to do the next fiscal year? Now the next question is about the Pictures. Except for the impairment, you have not made any revisions. And when the first half was settled or announced, you said that it will not reach the midrange plan, it will not reach the midrange plan, but you did not comment about the impairment. You were silent about the possible impairment. So what has happened between then and now? Can you give us an explanation that we'll be able to understand? Let me ask first Mr. Takeda. Now capital investment, compared to December, why is there a decrease vis-à-vis December forecast? 
Kazuhiko Takeda: This is primarily due to the reduction in the semiconductor equipment. In other words, we are using the existing equipment. And also, in the area of electronics, we're refraining from any investment that are not of immediate urgency and requirement. On the Pictures, your question about the Pictures. In December, we have put together a plan for 2017 to 2019, and as a result, we were required to make a downward revision to the earlier version of the forecast. Therefore, we are revisiting the forecast of earnings for the Pictures that led to the need to check and conduct a test to see whether we needed impairment. We have concluded that exercise in January, and we have made an announcement on the 30th of the month. So it was in the beginning of December that we have started to look at the medium-term plan and started again the testing on the need for the impairment. 
J. Hill: Next question, please? 
Kota Ezawa: Ezawa of Citigroup Securities. Concerning the business, one has to do with TV, and the Others, Pictures. In connection with TV business, I think profit Picture is favorable. And in terms of the management and supervision, the stability and the profit-making would be a target, but 5% profit margin per year continues. And this year, also, you will be achieving that. Then the conventional policies of not incurring loss or to stabilize, would that be sufficient? What about the positive, aggressive growth of that business? Are you thinking of shifting the policies? And OLED TV has been announced, and are you going to be on a very aggressive side in TV business going forward? What is the profit plan and the strategy in TV business going forward? Secondly is Pictures. And this time, you only announced the noncash impairment, and the business improvement or transformation plan have not been announced together, and some thought that was disappointing. And for improvement of profitability, a short-term prescription may be a onetime impairment recording, but what about the recovery and improvement of a profitability structure or performance structure? Are you thinking about it? And if that is -- could be left in the hands of the successor, meaning, that plan cannot be formulated unless the new successor arrives, then Mr. Hirai now has a second office in Culver City, and how would that function if the plan has to wait with the arrival of the successor? 
Kazuo Hirai: About the TV business, basically, our policy is to place emphasis on profitability rather than pursuing the volume. But 12 million units, depending on the exchange rate situation, the sales of JPY 700 billion to JPY 800 million and maximize the profit, that is the basic policy. But this time, we announced that the OLED TV and especially the large-screen TV would be a focus. So the product mix as well as -- there may be some strong or weak or up and down in the areas, so in some areas, we place emphasis. And also, we will look at the profitability per channel in terms of allocation. So we will continue to focus on operations to improve the profitability rather than increasing the volume per se. About the Pictures segment. Your question is that if we are not thinking about a restructuring plan. Over the short term, the structural reform of a major improvement may not be in place, but we are thinking of a improvement in some extent if [indiscernible], our new CFO, is now implementing the project. For instance, what we do with the too heavy corporate cost, and we are formulating the plan to reduce such corporate cost. And then the successor, the new CEO, it's not that we cannot implement such a project unless the successor arrives. But as regard to President Hirai, he will be working to enhance and strengthen the management bases as well as the selection of SPE CEO. Those would be the highest priority areas. One point to supplement in TV, 12 million units and JPY 700 billion to JPY 800 billion size, we are not going to enlarge it, but when the operation is improved, then profit it would increase. Basically, it's that direction. But whenever there is opportunity in business, we will be flexible and agile. But we will not simply pursue volumes for the sake of increased volume. 
Mikio Hirakawa: Hirakawa, Merrill Lynch Securities. I have one question concerning Semiconductors. There's been discussion over this already, the heavy investment [indiscernible], whether it's a recurring business is not a factor. But your margin target for next year is between 6% and 8%. So 6% and 8% profit level seems to be very low. Do you think that is still the adequate and appropriate level of profitability for this business? If so, between 6% and 8%, if you think this is a realistic level, what are you going to do to make further improvements on this? And what results are you achieving through this improvement initiatives? 
Kenichiro Yoshida: Thank you for the questions. So as we've said now, we are in the midst of budget formulation, so we cannot say anything definite. But ideally, the Semiconductor margin should be higher. The current level is too low. We have to try to improve the level of margin, and there's room for improvement. And for the next particular year, how much percentage would that be? I will hesitate -- refrain from mentioning percentages, but I think we'll be able to raise the level of profitability. The current business condition is such that there are some positive factors. For instance, in terms of sales mix, the previous [indiscernible] for smartphones, dual camera module is solidly increasing or likely to increase as we've expected. And for the improved pixel size of the front camera for selfies, it's also increasing. So the Chinese market, which is more than 500 million or so, high refraction [ph] cameras are becoming mainstays instead of low-cost models. So these developments are all helping us, starting as tailwind for us. I'm not sure if I adequately answered your questions. But... 
Ryosuke Katsura: SMBC Nikko Securities. Katsura is my name. I would like to ask about the free cash flow of the Financial Services, and the next question is about Mobile Communication. The free cash flow is additional JPY 200 billion for December. So it has shrunk to JPY 160 billion on a cumulative basis, but still, it's fairly a large relative size. In the fourth quarter, you have the proceeds of the sales of the shares of M3, JPY 50 billion. So I think this period it'll be in black. But the Pictures, I think, is a big factor, and I think that is affecting the free cash flow. So therefore, what would the operations be like in the future? Will there be a change in the direction? That is to say, Tim Rothman, who work on franchise and animation and increase or realized the pipeline generating returns. That has been the approach taken by the company for the past several years. So again, free cash flow is the question that I have. Another is Mobile Communication. And I think it's in black, JPY 50 million in volume. I think our ForEx market is helping, and I think you said that you needed JPY 20 million. So what is your thoughts about the next fiscal year for the Mobile business? 
Kenichiro Yoshida: Thank you. Let me comment first on the first question and have Murakami supplement. Free cash flow and you pointed -- referred to the Pictures business as well. We have the second region midrange business plan, and we focus on the investment and creating the opportunities and return profits. There was a major investment to be made that is why there has been a negative cash flow for 2 consecutive periods. But in the third region of midrange plan, I think we should be focusing more on cash flow and also on the recurring-revenue business. Therefore, internally, we will not just look at P&L, but we'll be more attentive to the cash flow and have the people fully realize -- be conscious about [indiscernible] The overall cash flow for this fiscal year approach our thought. 2015 free cash flow was minus JPY 72.1 billion, excluding the Financial Services, and I think this figure will be improved for this fiscal year somewhat, but one point of caution. Last year, of the Semiconductor capital investment that was implemented the year before, the JPY 90 billion of investment was deferred to or was carried over. And even with that, we believe that the figure would be better than the previous year. Now for the Pictures free cash flow, it's a topic very difficult to discuss. I think the direction is for the better improvement, but the timing of the Pictures production and the recovery, there's some volatility or some fluctuation. So we are hoping that it will be improved. But again, given the volatility of the business, it's very difficult to give you a clear-cut answer. On the Mobile business, Communication, we have a large mobile conference. We have to strengthen the product, the merchandising. And also, we have to strengthen the sales and marketing, particularly in Europe because last year, we did not do well in Europe last year. So reflecting upon what we did last year, we would like to strengthen the business and we will maintain a certain profit. And also, we'll continue to improve the overall profit structure. Thank you. 
J. Hill: Next question? 
Masahiro Ono: Ono of Morgan Stanley. One question concerning Semiconductor business. In the slide, you showed this graph or the quarterly change, and you also explained that for the fourth quarter, in others subsegment, extent of loss is incorporated. And what's your view on this? I'd like to confirm it. At the time of settlement of the second quarter, have you foreseen this or is this something you consider that would require some working out or disposal and you come to realize that now? Or simply, is it onetime items and would lead to the factors improving the profit in coming fiscal year? 
Kenichiro Yoshida: Takeda-san to explain. 
Kazuhiko Takeda: Thank you. About the Others subsegment in Semiconductors segment, the composition of it analog, LSI and optical pickup, such existing business is one, and another is that we exposed -- exhibited in CES an IoT set new business, and then common R&D expense or common expense for Semiconductor segment as a whole. The fourth quarter, due to the seasonality, and there will be the expense handling for the year-end and that happens during the fourth quarter. And in addition to that, in case of fiscal 2016, as Mr. Yoshida mentioned, some of the business is was brought to a closure and that effect is included. So in total, about 20% of total expense is related to the expense related to closing of the business. For other new business, that mean an investment for the future, so that would continue into the next fiscal year. And the common expense for R&D, it is a fixed expense. 
Masaru Sugiyama: Sugiyama, Goldman Sachs Securities. Pictures and M3, I have questions. First of all, Motion Pictures, the Motion Pictures, particularly. You've cited 3 initiatives, improvement: international reach, and financial discipline, so you must have actions. But leveraging of IP and particularly creation of new IPs, what actions do you have in store? And secondly, this is about M3. You've sold part of the M3 ownership, so M3's positioning in terms of your corporate strategy, what is it? And also, what is the use of the gain from the sales of these shares? 
Kenichiro Yoshida: First of all, the creation of new IPs for Pictures business what actions do we have in plan, in our plan? Well, there are new scenarios that we purchased. So in Pictures we are selling anew. For example, Stephen King's Dark Tower, we'll release this year, and this is one example. Whether this will become IP, as such, we'll have to see whether the pictures will attract audiences, so it will be decided by the audiences at the end of the day. But another hopeful thinking is that leveraging of the IPs that we have in Game, this is something we can do only because we have the Game business and the Pictures business. And your question about M3, the positioning of M3 within total Sony. We are continuing to own 34%, so our positioning remains unchanged in terms of importance of M3. But currently, the genome analysis servicing done by P5, which is a joint venture, we have that operation that we do with M3. So in the medical service field, there will be a lot more of our collaborating opportunities, and the future potential for these businesses in the medical services field, medical field. To add value, bring added value to the medical field, I think, potential is very high. So the positioning of M3 for us remains unchanged. The use of the gains from the sale, Ms. Murakami, can you explain? 
Atsuko Murakami: No particular use of the fund has been identified. Thank you. 
J. Hill: We have very little time left, so the next question will be the final question that we can take. 
Mika Nishimura: Nishimura of Crédit Suisse. One question in the semiconductor production capacity, I think you're running at the fullest capacity. That's what you have said. Therefore, in the next fiscal year, the year after, would you be making investments to increase your capacity? What is your thoughts on this? Or maybe you could take advantage of the Toshiba Oida [ph] plant. There could be different options. 
Unknown Executive: As you have rightly pointed out, we are in discussion. We are in consideration. Production capacity, I think the overall direction is to increase the capacity. So we are -- we are discussing with the partner companies or the supporting members. Oida [ph] plant, we could not -- we could use it -- just we could use it for masses in addition to for the use of logics, for the logics. So we will be discussing what we like to do in the future. 
J. Hill: Thank you very much. We would like to close this. Thank you very much for your kind attention.